Operator: Greetings. Welcome CareMax Inc. Fourth Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to Samantha Swerdlin, Vice President Investor Relations at CareMax. Thank you. You may begin.
Samantha Swerdlin: Thank you, and good morning, everyone. Welcome to CareMax’s fourth quarter and full year 2021 earnings call. On the call with me today are, Carlos de Solo, our Chief Executive Officer, and Kevin Wirges, our Chief Financial Officer.  During the call, we will be discussing certain forward-looking information. These forward-looking statements are based on assumptions and assessments made by CareMax’s management in light of their experience and assessment of historical trends, current conditions, expected future developments, and other factors they believe to be appropriate. And forward-looking statements made during this call are made as of today and CareMax undertakes no duty to update or revise such statements, whether as a result of new information, future events or otherwise. Important factors that could cause actual results, developments, and business decisions to differ materially from the forward-looking statements, are described in the company’s filings with the SEC, including the section entitled Risk Factors. In today’s remarks by management, we will be discussing non-GAAP financial metrics. A reconciliation of these non-GAAP financial metrics to the most comparable GAAP measures, can be found in this morning’s earnings press release. With that said, I’d now like to turn the call over to Carlos.
Carlos de Solo: Thank you, Samantha. Good morning, everyone, and thank you for joining our call today. I am proud to report that we closed our fourth quarter with strong revenue and membership growth and a quarter-over-quarter decline in our medical expense ratio. For the full year 2021, we delivered membership and MER ahead of expectations despite COVID, and feel encouraged by our momentum entering into 2022. We are making meaningful progress towards achieving our 2022 De Novo goal, and are pleased to announce that we recently opened our first two centers in Memphis, Tennessee, and our first center in New York city. Our expansion into these new markets is an exciting milestone in our national De Novo strategy, and will be - and will serve as building blocks to bring our transformative, whole person health model to more communities than ever. We believe our strong growth, while still maintaining a best-in-class MER, is a testament to our team and our model. By utilizing our whole person health clinical program, and our integrated proprietary point of care technology platform, CareOptimize, our physicians and care teams truly partner with our members to improve health outcomes and overall well-being. We do this by working in some of the most underserved neighborhoods, many of which are otherwise healthcare deserts, addressing patients with significant barriers to care. Our model does well by doing good, and we look forward to expanding to those communities that will benefit the most. Turning now to our performance. For the fourth quarter 2021, proforma for the combination of CareMax and IMC, we achieved revenue of $118 million, up 34% from $88 million in the fourth quarter of 2020. Notably, we saw 95% of our members during the year, and to date, in Q1, have seen risk reimbursement rates return to pre-COVID levels. Our fourth quarter GAAP net loss was $3.6, million bringing our full year GAAP net loss to $6.7 million. Our 2021 proforma run rate revenue was $515 million, and our proforma run rate adjusted EBITDA was approximately $35 million, both in line with the expectations we set last year. As a reminder, these were illustrative figure that helped frame our steady-state earnings power heading into 2022. But all 2022 guidance given today, as Kevin will discuss, will reflect performance we expect to report in the current year. Our total membership as of December 31st, 2021, was over 83,000, and our Medicare Advantage was over 33,500, both exceeding our guidance. Our focus on De Novo openings, specifically in areas where our partners have a concentration of membership and our own grassroots marketing efforts, are expected to contribute to strong membership growth in the future.  Like others, early in the first quarter, we experience higher COVID cases related to the Omicron variant. However, hospital admissions were below levels seen during prior spikes. And of those members admitted, the average length of stay was shorter than in prior waves. We attribute this to our COVID rapid response program. Our medical staff have been diligent about the outreach in educating our members, which has led to early diagnosis and more effective treatment plans. Despite the continued impact from COVID during the fourth quarter, our clinical model continues to perform well. For the fourth quarter, we recorded a healthy 71.5% medical expense ratio, which has an improvement of approximately 400 basis points from the third quarter of 2021. Normalizing for estimated direct impacts from COVID, our MER would have been 69.5%. to provide a bit more context how we are lowering overall healthcare costs, our results show that ex-COVID, we continue to reduce our external provider costs in absolute dollars spent on a per-member per-month basis. It bears repeating that historically, we have achieved MER reduction by patient cohort of 47 percentage points over three to four years, including a 40% reduction in medical expense per member per month, which contributes to much needed savings in our healthcare system. Next, I would like to provide an update on our operational initiatives. We believe we have now captured substantially all $5 million of the previously announced combination synergies that we anticipated with IMC, including benefits from the consolidation of member panels under certain health plans. As you might imagine, human capital is our most valuable asset, and we are continually looking for ways to invest in our talent. First, in the fourth quarter, we brought up on key leadership to support our regional and corporate operations, including a Southeast Market President, a Chief Compliance Officer, and a Chief People Officer. We believe that we have assembled the right talent to execute on our growth plans, and we'll continue to add capabilities to our regional and corporate teams. Second, our frontline associates worked tirelessly last year to keep our centers operational during the pandemic, and to keep our members safe. We're in the process of adjusting compensation across medical and center support staff, knowing that employee retention and experience translate into higher quality of care for our members. We are already benefiting from the investments we made last year in patient experience. I am pleased to announce that in 2021, we achieved a five-star quality rating across all of our centers. This underscores our ability to maintain best-in-class care as we grow rapidly. Further, we received a Net Promoter Score of 96 for member satisfaction, and had a 98% physician retention over the past year. Moving to our strategic initiatives, we continue to be impressed by the amount of inbound interest from those looking to collaborate with us to improve outcomes and efficiencies in the healthcare system. Two of those, which we will provide an update on, Related and Anthem. The Related collaboration gives us the opportunity to work closely with one of the largest owner operators of affordable housing in the US. The initial focus of our collaboration with Related has been in New York City, where we are on track to opening centers this year. Our vision is to bring CareMax's vertically integrated whole person healthcare model directly to affordable housing communities, providing convenient access to care to those seniors who need it the most. We have demonstrated that this model works well, as we highlighted in the past with the growth of our Pembroke Pines Florida Medical Center, which opened on the ground floor of a retirement community. This center experienced among the fastest membership ramp and path to profitability in our center footprint. With Related, we look forward to bringing this model to communities across the country to expand convenient access to value-based care. We are also progressing nicely with our strategic collaboration with Anthem and are encouraged by the level of engagement Anthem has provided to help us fill our centers. With their support, we believe we are able to reduce upfront operating losses at De Novos, speed up the path of full risk economics and pull-forward break-even platform contribution margin, all while accelerating the shift of Anthem's membership to value-based care. In addition to these two important strategic collaborations, we continue to work with our other payers to assist in our collective goal, bringing best-in-class medical care to underserved communities. As we've discussed in prior presentations, we believe De Novos represent our highest ROI use of capital, and that we have the right team, the right infrastructure, and the right secular tailwinds in place to pursue that opportunity. In some instances, we are able to get a De Novo breakeven center profit with as little as $1 million to $2 million of upfront platform contribution investment, after leveraging tenant improvement financing and funding from strategic payer partners. This is possible through our disciplined strategy for De Novo openings. When assessing new markets, we look for where our partners have a concentration of membership. The partners are looking to improve costs, quality outcomes, or both. Our model is specifically designed to deliver these outcomes in a replicable way. By going where patients already exist, we lower our patient acquisition cost, and ensure we have a large local TAM to deliver our model. Our member sourcing is supported by these partners and our own grassroots efforts. By embedding ourselves in the communities through our local events and hiring from within those communities, we bring a unique culturally-sensitive and hyper-local focus to our medical centers so that our model resonates with the communities that we are serving. Financially, this approach results in a scaled member base that generates attractive predictable cash flows in any economic environment. We believe each of our standard sized De Novos, has the ability to generate $4 million to $5 million of platform contribution and maturity. We are reaffirming prior guidance of opening 15 De Novos in 2022. We have already executed leases across Florida, Tennessee, Louisiana, and New York. While we are experiencing very high interest in building out more locations than we've highlighted, we remain disciplined and deliberate in our approach, by selecting quality sites that we believe will provide the best returns and allow us to make the biggest impact in improving health outcomes for our members. Lastly, I'd like to touch on our tech-enabled MSO strategy and how it plays into our national expansion plans. Our MSO has been part of our model for the past 11 years, and gives providers in the community a path to value-based care. As we have previously communicated, we have begun transitioning our CareOptimize platform into our MSO from its prior use as a consulting SaaS based model. Our MSO provides independent physicians with the technology, education, and support to deliver better outcomes for their patients, with more favorable financial results for all stakeholders. Payers and health systems have expressed interest in this model, as it assists them in reliably managing their independent physician networks. These arrangements provide us with the ability to reach critical mass in a market, while giving us a faster path to profitability. We have the flexibility to begin these contracts as a non-risk or partial risk with a path to full risk as we professionalize the practices. And historically, these arrangements have generated margins comparable to those of our owned centers.  With that. I will turn it over to Kevin to provide more color on our results and our outlook for 2022.
Kevin Wirges: Thanks, Carlos, and good morning. We reported another quarter of solid revenues despite COVID headwinds. As a reminder, our GAAP fourth quarter financials include full quarters of CareMax, IMC, SMA, and DNF. Any full year 2021 numbers that I will be providing, are proforma for the business combination between CareMax and IMC, and historical periods. You can find a reconciliation between our GAAP net income and adjusted EBITDA in our press release or earnings presentation. In addition, as noted in both documents, we expect to disclose in our 10-K, a reclass of earn-out shares related to the business combination as a liability, instead of equity, for the period from closing to July 9th, when the first earn-out tranche was earned. We will be providing restatements of our 2Q and 3Q 2021 financials to reflect this reclassification, which for the year, results in a one-time non-cash net gain of approximately $5.8 million, with no impact to historical revenue, adjusted EBITDA. or cashflow.  Our total reported revenue was $118 million for the fourth quarter, and $403 million for the full year. adjusted EBITDA for the quarter was $4.3 million, bringing adjusted EBITDA for the full year to $13.3 million. Excluding the estimated impacts of COVID, our adjusted EBITDA would've been $7.4 million for the quarter, and $36.4 million for the full year. Medical expense ratio was 71.5% for Q4, but we believe we would have been 69.5%, normalizing for direct COVID impacts to revenue and external provider costs. For the full year 2021, we estimate the total impact of COVID on legacy CareMax and IMC adjusted EBITDA, was $23 million, roughly split between risk adjustment headwinds to revenue, and direct COVID-related claims cost.  Proforma for the combination of CareMax and IMC, despite multiple pandemic waves, we achieved a reported 2021 medical expense ratio under 75%. And if you were to back out the impacts of COVID to risk-based revenues and external provider cost, MER for 2021 would have been below 70%, in line with our targeted performance. As you can see in our earnings presentation, COVID utilization during Q4 was the lowest we've seen in 2021, and represented only a 200-basis point impact to MER in the quarter. And despite record positivity rates and hospitalizations across Florida due to the Omicron variant, January and February COVID admissions for us were lower than even July and August of last year. Finally, in person-PCP visitation for our Medicare members, as well as acuity revalidation rates, continued to trend strongly through Q4. Consistent with that, data we've received from the health plan so far this year, supports a full recovery of risk adjustment impact experienced in 2021. Now, let me turn to guidance. We feel well positioned to execute against membership growth opportunities, and expect our Medicare Advantage base to end the year at 38,000 to 40,000, or 13% to 19% growth over December 2021 members. This represents organic growth, which includes tuck-in acquisitions, and does not assume contribution from larger scaled acquisitions. This organic growth will be championed by our restructured sales organization, which has been enhanced with key regional talent. We have initiatives underway that are designed to boost sales productivity, and improve member retention. Recall, our capacity utilization in our 45 centers is still only a little above 50%. As such, we have ample runway to increase penetration in our current footprint alone.  It's important to note that even in a mature Medicare Advantage market like Florida, MA eligibles exist across the spectrum of payment models. Although revenue PMPM from non and partial risk members is lower than that of full risk, strategically, we make little distinction between full, partial and non-risk members. We see a path toward getting patients to full risk and driving down medical expenses for all patients with our technology and medical management process, including in our MSO business. We recognize partial and non-risk revenues and other revenue with no corresponding external provider costs. As we consolidate members into full risk plans, that revenue would step up to the full premium, less the payer admin fee, and move to Medicare risk revenue. For that reason, GAAP revenue growth may differ from member growth at times, but we believe non-risk - non-full risk members can embed full risk economics that can be unlocked over time. A s Carlos mentioned, we also see opportunities to grow membership at our MSO or affiliate providers. Just like members at our centers, affiliate members can be full, partial or non-risk. We find affiliates can be an efficient way for us to expand our relationships with health plans, provide value-added services to resource-constrained providers, and put members on a path towards full risk economics. Our 2022 guidance includes a modest contribution to membership growth from De Novos. We are being appropriately conservative, given entry into our first markets outside of Florida, but think the Related and Anthem collaborations can provide tailwinds to growth. By design, De Novo members initially will be non-risk, earning a nominal flat capitation PMPM. This is intended to mitigate downside risk in an unknown, underserved population, while we take the time to document their chronic conditions, coach them on basic health habits, and address other needs like mental wellness and access to social services. We've established a two-year path to full risk, but have the option to pull that point forward if we feel confident in being able to manage members profitably earlier. For these reasons, De Novo revenue will be relatively modest in 2022, but we anticipate it will start becoming a topline tailwind in 2023, as member volume ramps, and some member panels potentially get converted to full risk. Our 2022 total revenue guidance of $540 million to $560 million, reflects a full recovery of last year's risk adjustment headwinds, partially offset by a partial year of Medicare sequestration in 2022. In spite of member growth, we think quarterly revenue will be distributed relatively evenly throughout the year, driven by the phasing in of sequestration in Q2 and Q3, and by a gradual mix shift from tenured higher PMPM members, to newer, lower PMPM members. As a reminder, our GAAP revenue recognition adheres to ASC 606 guidelines, and does not accrue for risk adjustment benefits that may potentially be earned in future years.  Excluding De Novo losses, we expect 2022 adjusted EBITDA to be between $30 million and 40 million. We refer to this as our core business, representing earnings from our current base of 45 clinics in Florida. Our core centers are at various stages of maturity, but they are profitable. And we feel confident in our ability to scale them to historical CareMax platform contribution margins, around 20%. At the same time, we continue to right-size the core business to reflect cost of operating as a public company, and to support our strategic initiatives. We incurred six months of public company expenses, including D&O insurance last year, following our go public in June. Second, as Carlos mentioned, we are redeploying cost savings to boosting benefits and paying our hardworking for frontline staff. Finally, we anticipate investing in areas like our call center and field sales reps to execute on growth opportunities in our core markets and in clinical areas to enhance our medical management capabilities. It's important to remember that these investments have near term impacts to profitability, but can drive meaningful benefit over a six-to-12-month timeframe, including accelerated growth and better long-term margins. We believe our core EBITDA guidance strikes an appropriate balance between growth and profitability, and paints a good picture of what the steady state might look like for our De Novo centers.  In connection with our plans to open 15 De Novos this year, we believe adjusted EBITDA losses for our De Novos will be approximately $10 million, mostly weighted towards the back half. As I noted, De Novo revenues will initially be from non-risk arrangements, and will be a more material tailwind to growth in 2023. We have line of sight into dozens of center openings in the coming years, but intend to proceed at a measured, success-based pace, leveraging tenant improvement financing, and support capital from our partners to expand in a capital efficient manner.  To round out our capital position, we ended 2021 with $48 million of cash, and $117 million of debt under our term loan. Our revolver is undrawn and has $40 million of total capacity, less approximately $5 million in letters of credit outstanding, summing to $83 million of total liquidity at the end of the year. 2021 was a transformative year for us, despite the challenging environment. We remain optimistic about the growth ahead of us, having conviction in our De Novo strategy, and plan to continue to make investments in our platform to execute against our growth goals.  With that, I'll turn it back to Carlos for closing remarks.
Carlos de Solo: Thanks Kevin. In closing, I want to thank all our dedicated team members who continue to exceed our expectations with their commitment to growing our business, while always keeping the needs of our members first. 2021 was a great opportunity for us to demonstrate our best-in-class medical performance and medical health outcomes. I'm very optimistic about the year ahead as we move into the next phase of our growth strategy. Operator, we’ll now open it up for questions.
Operator: Thank you [Operator Instructions]. Our first question is from Josh Raskin with Nephron Research. Please proceed.
Josh Raskin: Hi, thanks. Good morning, guys. My first question is how you're thinking about some of these new market expansions, and specifically, I'm looking for any color on physician recruiting and maybe the cadence of how membership is expected to ramp up through the year.
Carlos de Solo: Hey, Josh. Yes, we're going to continue - we've been very successful in physician recruiting, one, by partnering with community organizations, with universities and institutions, some here in Florida that have reciprocity, and some of the institutions in some of the areas in New York and Tennessee that we're working with. Additionally, we are also looking at what we call aqua hires, and what we're finding is that a lot of physicians, specifically in the New York area, are burnt out and are really looking for another alternative. And for the most part, we're able to offer more favorable economics for them and the ability to provide medicine in the way that they had initially wanted and intended. So, we have not had an issue with physician recruitment here in Florida, or as we've contemplated the new markets as well.
Josh Raskin: And where are they coming from, Carlos? Were they private practice mostly?
Carlos de Solo: Yes. A lot of the aqua hires are private practices. So, that's just small providers that may have a small panel of 100 MA physician, a lot of fee-for-service, and they're just looking for something different. Those are really great opportunities where we can just bring them into one of our CareMax medical centers. A side benefit is you get a small panel that generally comes and follows those physicians. So, when you start those centers, it's nice to have even a small base when you open up. And the other way is, a lot of folks have just finished their residency that are also - that we're coming aware of through our relationships with universities and different entities in the community that help us recruit.
Josh Raskin: That makes sense. And then my second question is just, are you seeing a difference in the behavior of your Medicare Advantage plan partners? Any differences in competition, more focus on retention, sort of anything that they're doing differently? 
Carlos de Solo: Just in general or in different locations? Just want to make sure I have the question right.
Josh Raskin: No, in general, just sort of thinking about as we move into 2022, right, there's been a lot of conversation around competition and higher levels of churn and things like that. And it's my sense that the competition, even in companies like yourself, not to say that. I'm just curious here.
Carlos de Solo: Yes, good question. Yes. I think the biggest thing that we're seeing, the biggest focus on health plans right now is on providers that are five-star providers, right? That really impacts the retention numbers, and it also impacts the revenue numbers significantly for the health plans. So, we've seen a lot of support from the national health plans wanting to partner with us, because we are five-star providers across the board throughout all of our centers. So, that has really allowed us to position ourselves very favorably with them, and has also provided us the opportunity - I talked a little bit about at the beginning of the earnings call on being able to benefit from that MSO auto-assignment, where we can help manage that membership and bring them to a five-star rating as well. I think that's the biggest focus.
Operator: Our next question is from Andrew Mok with UBS. Please proceed.
Andrew Mok: Hi. good morning. First on membership, your four Q 21 MA membership of 33,500, came in above your previous expectations of 30,000. What drove the higher-than-expected membership in the quarter?
Carlos de Solo: Yes, it was a combination of various different levels. A lot of that was organic growth. A lot of that was some small tuck-in acquisitions, as well as some MSO auto-assignments, as I talked earlier on Josh's response. One of the things that we think will be a key driver for us moving forward is the ability to position ourselves with our payer partners as we enter new markets and benefiting from potential auto-assignments.
AndrewMok: Got it. And when we think about the 15 De Novo clinics this year, what's the expected cadence of those openings? And can you size the De Novo losses for the year for us?
Carlos de Solo: Yes, we haven't guided to the cadence. We just opened up three centers, two in Memphis, one in New York in Brooklyn. We have five other leases coming on in the New York region. A lot of those will be opening up in the middle and end of next year as well. And we reaffirm that guidance of opening up 15 centers this year.
Andrew Mok: Right. Okay. And on the financing side, can you help us understand how much of the expansion cost is expected to be shared by our strategic partners and maybe talk your expected cash flow from operations for the year?
Kevin Wirges: Yes. So, I don't think we're giving guidance on which centers are going to be open specifically with our collaborative relationships. What I would tell you is, I think we've guided to roughly $10 million of losses specifically related to EBITDA. Those are post opening losses. A lot of those are in the last half of the year. So, we won't see - I'll tell you, we won't see a significant drag on the cashflow throughout ’22. It's really going to be really more towards the latter part Q4.
Carlos de Solo: Yes. No, what I would say is, we’re working very closely with Anthem in identifying all of the regions and all of the states that we discussed, to create a cadence of opening up those centers that we're going to be opening up in partnership.
Andrew Mok: Got it. That's helpful. I guess related to that, Anthem partnership, can you provide an update on the group MA contract in New York? And how much membership are you expecting from that contract this year?
Carlos de Solo: Yes. I think that we're going to be opportunistic about that as we open up our CareMax boxes and our locations to the extent that there are potential unassigned members in those regions. We're not factoring any of that growth in the numbers that we projected, but we do think that there is a significant opportunity to benefit from a lot of that membership that would be unassigned, unmanaged, or wanting to potentially move to a different provider. It’s still too early to tell.
Andrew Mok: Got it. Okay. Thank you. That's good color on the questions.
Operator: Our next question is from Jessica Tassan with Piper Sandler. Please proceed.
Jessica Tassan: Hi. Thank you for taking the question. So, cash burn looks like it stepped up to $21 million in Q4. Can you just help us understand maybe what drove that? And I guess, you're not going to guide ‘22 cashflow, but just any themes that are consistent from Q4 into 2022.
Kevin Wirges: Hey, Jessica, it's Kevin. Yes. So, we did have some tuck-in acquisitions that we did in Q4, which resulted about $12 million to 15 million of that cash burn. The other thing is, as we get reimbursed for our full risk for patients, that is typically a three-to-four-month lag. So, the cashflow that's coming in Q4 is really the activity that happened, if you will, in Q3, right. So, there's a little bit of a delay between when we earn and when that cashflow happens. So, that would round up the remaining balance.
Jessica Tassan: Got it. And then just on the adjusted EBITDA losses anticipated from De Novos, can you just - what is kind of driving the losses if you guys are not taking risks on those patients until the second year? Thank you.
Kevin Wirges: Yes. Thanks, Jessica. Yes, it's mostly capacity, right? So, I think we've taken a conservative approach in building the model out. We're not assuming that there's going to be a large ramp in membership, typically what we see in our south Florida clinics. So, we've taken a conservative approach. We obviously are going to be - the facility costs, the fixed costs are there. Physician costs are there, but we do anticipate a steady ramp in membership. And so, therefore, that J-curve is just a little steeper in the early parts of the year as we start to build up capacity.
Carlos de Solo: Yes. And we want to make sure we took a conservative approach on that. Part of the reason we've partnered with Related, Anthem, and several other payors, is to potentially reduce or shorten the duration of that J-curve on paths to profitability as we fill up those centers and go through that OpEx cost.
Jessica Tassan: That's helpful. If I could just sneak in one more. On the Anthem group MA contract in New York, is there a sort of hard start date for that contract? Maybe I misunderstood in your response to prior question. Can you just clarify if that has a hard start date at some point in 2022? Thanks.
Carlos de Solo: Yes. We’re not aware yet. I know that they were going through some through issues. It sounds like that was resolved, but we still don't have a start date for us on when we're going to be potentially benefiting from that arrangement.
Operator: [Operator instructions]. Our next question is from Brian Tanquilut with Jefferies. Please proceed.
Brian Tanquilut: Hey, good morning, guys. Thanks for all the color today on everything going on, but one question. What are your expectations for CapEx requirements in 2022, especially given the 15 De Novo openings? And appreciate the color you gave on how much liquidity you have, but as we think about kind of like your three-to-five-year plan, do you think you have ample capital access or liquidity right now to fund all your plans for the next three to five years?
Kevin Wirges: Yes. Hey, Brian, it’s Kevin. Yes, so we’re obviously always looking at that, but it's not an item that's first and foremost for us. We do have liquidity on the balance sheets to execute on our near-term plans. What I would tell you is, we are executing on capital-light plans, so leveraging our tenant improvement relationships, as well as the relationships with Anthem and Related, to kind of shorten that J-curve. So, from a capital standpoint, it's going to be relatively light in 2022. Again, a lot of those centers are opening, the - probably half of those centers are opening in the back half of the year. So, I think we’re comfortable and confident on where we are from a cash standpoint to execute near-term.
Brian Tanquilut: No, I appreciate that. And then, I guess for Kevin or Carlos, so can you give a little bit more detail on kind of like your MSO strategy, specifically, how do you view the size of the opportunity there? What have been the early signals in terms of success in terms of converting CareOptimize clients to MSO? And then, how should we be thinking about the typical timeline for conversion to full risk and that sort of structure?
Carlos de Solo: Yes. Look, this is a great question. This is something we've talked about for a while now, and kind of converting the business into a fully integrated MSO offering. We've been managing an MSO for the past 11 years, as I spoke on the call, very successfully, in similar margins that we've been able to achieve in our own centers. So, I think that the opportunity is pretty significant. A big part of that is the ability to demonstrate to providers, to be able to take a fragmented book of business, professionalize that book, and work on the medical management, medical economics, and really educating those providers and maintaining our five-star status. So, I think as we continue to perform, the opportunities more often than not, are going to come from the health plans and going into new markets, even in existing markets here in Florida, where we're in today, and just potentially auto-assigning us a significant tranche of membership and an IP network that they have that's otherwise unmanaged. So, we think it could be a pretty significant opportunity in 2022.
Brian Tanquilut: Got it. And then Kevin, just a couple of quick questions here. So, any color you can give what the cadence for ‘22 EBITDA improvement from acquisitions and synergies? And then the second part is, what leverage covenants do you have in your credit facility? Thanks.
Kevin Wirges: Yes, sure. So, from a cadence standpoint, what I would tell you is, obviously we're making investments to ensure that those new acquisitions adhere to our CareMax model so that we can reap the benefits of those. So, I would expect a steady cadence from an MER improvement throughout the year. And then, as far as the covenants, I think those are filed publicly. We have them out there. nothing's changed since our amendment that we filed out in December 30th or early January of this year.
Brian Tanquilut: All right, appreciate it. Thank you.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Carlos for closing comments.
Carlos de Solo: Great. I’d just like to thank everybody for attending our Q4 earnings call today, and we're excited and look forward to 2022. Thank you, everyone.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.